Operator: Hello and thank you for standing by for JD.com's Second Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. After management's prepared remarks, there will be a question-and-answer session. Today's conference is being recorded. If you have any objections, you may disconnect at this time. I'd now like to turn the meeting over to your host for today's conference, Ruiyu Li. Please go ahead.
Ruiyu Li - Investor Relations Officer: Thank you, operator, and welcome to our second quarter 2015 earnings conference call. Joining me on the call today are Richard Liu, Founder, Chairman and CEO; and Sidney Huang, our CFO. For today's agenda management will discuss highlights for the second quarter 2015 following the prepared remarks, Haoyu Shen, CEO of JD Mall will join Mr. Liu and Mr. Huang for the Q&A session of the call. Before we continue, I refer you to our Safe Harbor statement in earnings press release which applies to this call, as we will make forward-looking statements. Also, this call includes a discussion about certain non-GAAP financial measures. Please refer to our earnings release which contains our reconciliation of non-GAAP measures to the most directly comparable GAAP measures. Finally, please note that unless otherwise stated all the numbers mentioned during this conference call are in RMB. Now I would like to turn the call over to our Founder, Chairman, and CEO, Richard Liu.
Richard Qiangdong Liu - Founder, Chairman & Chief Executive Officer: Thank you, Ruiyu, and welcome, everyone. We are pleased to report another strong quality performance with many exciting developments in our business. During the quarter, our June 18 anniversary sales event saw record breaking results with consumers continuing to migrate to Jingdong as a result of our growing brand recognition and recognition of our superior customer service. I'm also pleased to update you that we rolled out new O2O e-commerce initiative and expanded the range of authentic imported product on our Jingdong Worldwide product platform. More and more, China's consumers are demanding the best service, the highest quality products and of course, 100% authenticity. And we are focused on making sure that JD.com reputation for excellence in this area continues to grow. And at the same time, we are looking ahead and making investments in innovative new business initiatives to build JD.com's e-commerce leadership for the long term. Now I will turn the call over to Sidney, and I look forward to joining the Q&A session.
Xuande Huang - Chief Financial Officer: Thank you, Richard, and hello, everyone. I will spend the next 10 minutes to discuss our second quarter financial highlights and the third quarter outlook. We're very pleased by our robust growth in the second quarter. Our year-on-year GMV growth was 82%. As you know, our strategic deal with Tencent last year closed on March 10, so this quarter marks the first full quarter after our one year anniversary of the Tencent alliance. This explains the seemingly slower GMV growth on an overall basis, as part of the incremental GMV in Q2 last year was generated by Wanggou, the B2C marketplace acquired from Tencent, and Wanggou business has been discontinued in late 2014. On the other hand, our JD Mall's GMV growth remained robust, with year-over-year growth of 92% compared to 94% in the previous quarter. Our net revenue growth was 60.5% in Q2, well above our guidance, due to strong performance during our 12-year anniversary sales event in June. The GMV composition was largely consistent with the prior quarter. GMV from general merchandise categories grew 97% and accounted for 48.5% of total GMV during the quarter. Apparel and shoes continued to be the fastest-growing category, with a year-on-year growth rate of nearly 150%. Other fast-growing key categories included home furnishing, watches and handbags, food and beverage, cosmetics and baby products. Note that the acquired Tencent marketplaces, Paipai and Wanggou, were selling mostly general merchandise products, so the year-on-year growth rates for these categories were also affected by the full-year anniversary effect, as discussed earlier. GMV from our marketplace business grew 110% in Q2 and accounted for 44% of our GMV during the period. If you just look at JD Mall marketplace, GMV grew 156% year-over-year and 35% sequentially. Our direct sales revenues grew 58% year-over-year, led by food and beverage, home furnishing, and cosmetics, as well as mobile and home appliance categories. Services and other revenue grew 108% year-on-year, mainly driven by triple-digit growth in commissions and the logistic service revenues. Our non-GAAP gross margin improved to 12.5%, up from 11% a year ago, as a result of higher first-party gross margin and higher GMV contribution from the marketplace. Starting this quarter, we began to recognize deferred revenue as a result of our resource-based investments in two companies, which totaled RMB146 million in the second quarter. As you noted that the non-GAAP gross margin figure I mentioned earlier excluded this revenue, and we will exclude this revenue for all of our non-GAAP measures, as disclosed at the end of our earnings release. Non-GAAP fulfillment expense ratio improved to 7% in Q2 compared to 7.2% in Q1. The improvement was mainly driven by better utilization of our fulfillment staff during the June 18 anniversary sales event. It was relatively consistent with the last year level, excluding the impact from the third-party logistics service cost. However, our fulfillment expense ratio may increase in the next few quarters as we continue to invest in our O2O initiatives and our logistic infrastructure in lower tier cities. The non-GAAP marketing expense ratio was 3.6% in Q2, compared to 3% in Q1 and 2.6% in the same quarter last year. The increase was mainly driven by higher discretionary spending, such as TV advertising and offline marketing activities to raise our brand awareness during the second quarter. Our non-GAAP R&D expense ratio increased to 1.6% compared to 1.4% a year ago, reflecting higher investment in R&D talent for our existing and new business lines. Altogether, despite heavy investment in our new business initiatives, our non-GAAP net margin was roughly breakeven in the second quarter, which is similar to the same quarter last year. If you look at our core JD Mall business, however, both the non-GAAP operating margin and the non-GAAP net margin improved significantly from the prior year, and were profitable during the second quarter. Another highlight of our second quarter performance is the cash flow and working capital. We had another record quarter, with over RMB4.7 billion in free cash flow. Inventory turnover remained low, at 34.5 days, while the accounts payable turnover was 42.5 days. As we mentioned before, these working capital metrics reflect our industry-leading operating efficiency and significant potential for further improved cash flow. On a related note, as disclosed in our free cash flow calculation, our Internet finance business grew significantly during the second quarter. Cash outflow totaled approximately RMB5 billion, including over 50% to suppliers and merchants, due to higher transaction volume during our June promotion, and the remaining to our consumers. The supplier financing grew over RMB2 billion during the quarter, and was the largest cash outflow item in Q2. As discussed previously, supplier financing is essentially a factoring business with minimal credit risk. Our consumer financing product, Jingdong Baitiao also grew over RMB2 billion during the quarter in conjunction with our June anniversary sales event. This product was initially introduced in early 2014. Over the past 18 months, we have carefully designed and improved our credit assessment model based on internal and external credit data. The first year metrics, including delinquency trend and charge-off rates, have been closely monitored and continuously improving. Our merchant financing program is relatively new and is the smallest portion of our loan portfolio. Overall, our Internet finance business is still in the investing phase with operating losses. But we are encouraged by the progress and its improving financial results. Given the increasing cash outflow, we plan to seek asset securitization and other external sources to finance this business in the second half of this year. Now let's discuss our financial outlook. We expect our Q3 net revenue growth between 49% and 54% on a year-over-year basis. This guidance reflects our confidence in our core business, while incorporating our conservative (11:41) outlook in light of the recent Chinese stock market correction and the slowing macro-economic condition. As for the non-GAAP bottom line, we maintain our previous guidance of between breakeven to negative 0.5% for the full year 2015. Lastly, we are really excited about the newly announced strategic partnership with Yonghui Superstores. Yonghui is one of the largest supermarket chains in China with a clear leadership position in fresh product category. As part of this strategic alliance, the two companies will leverage each other's strengths to jointly develop the online solution for consumers' day-to-day need for fresh and food products. In connection with the partnership, we will also invest approximately $700 million for a 10% stake in Yonghui, which is subject to regulatory approval. The agreed transaction price is RMB9, which represents a 9% discount to the weighted average stock price in the past 20 days. This price is also in line with the company's first quarter average price of RMB9.38, the unaffected price before the abnormal market volatility during the second quarter. As the deal was just signed this afternoon, you will see more information from Yonghui's public announcement very soon, and we will give you more update on our next earnings call. With that, we can now move to the Q&A session. Operator?
Operator: Thank you. Your first question comes from Eric Sheridan from UBS. Your line is open. Please go ahead.
Eric J. Sheridan - UBS Securities LLC: Thanks for taking the questions. Sidney, I wanted to know if we could get a little bit more color on the case or conversion of the traffic that's being delivered by Tencent now that we're up to the one-year anniversary of the relationship. And how you see that traffic continuing to develop through the year? Thank you.
Xuande Huang - Chief Financial Officer: Sure. I'll start and Haoyu may add. Yeah, so the traffic has been – especially on the mobile side, we have seen a lot of new users from both WeChat and QQ mobile apps. These two vastly popular social network apps have been adding a lot of new customers. In Q2, it again, based on our internal data, well over 20% of the new users – newly acquired customers actually came from those two channels.
Haoyu Shen - Chief Executive Officer of JD Mall: Right. So in terms of daily active user, if we use that definition, we're seeing steady growth from Weixin and QQ as well. During our June annual campaign, we did a lot of campaigns and promotions on these two entry points as well, from which we added a lot of new users. So in terms of our order contribution, it's a very meaningful percentage. Right now we can't disclose the numbers. And as Sidney just mentioned, that it's giving us – it's becoming a big source of new user acquisition as well.
Operator: Your next question comes from the line of Alicia Yap from Barclays. Your line is open. Please go ahead.
Alicia Yap - Barclays Capital Asia Ltd.: Hi. Good evening, and good morning, Richard, Sidney and Haoyu, thanks for taking my questions. My question is related to your overall O2O initiative and strategy, so particularly on your Yonghui and then also, can you elaborate a little bit in terms of how this relationship and business partnership will carry out? And on top of it I actually wanted to ask on the overall competitive landscape. Given the O2O space is very crowded and there's no lack of funding, so in your opinion, given your years of experience in retail, how will this local service and your local e-commerce landscape to shape out longer term, who will JD view as the potential biggest competitor? And any area that you feel you need to step up to strengthen your expertise in this local O2O initiative? Thank you.
Xuande Huang - Chief Financial Officer: Yeah. Okay. I'll start. So this is a very long question but it's very good. I think the overall O2O sector is still in a very early stage. There are many players, but not all of them are in the same particular niche. So for example, for JD.com, we leverage our strengths in physical goods e-commerce in our existing logistics networks. So we specialize and we focus on fresh products through our mobile app, Jingdong Daojia. So as we mentioned earlier, our effort here is to connect the offline supermarkets to the consumers in the neighborhood and we will connect these consumers and provide to our delivery of the fresh products to their home. So it is still fairly early, but we have seen very encouraging initial results. We also started our crowd-sourcing delivery network. We recruited tens of thousands of freelance delivery staff. So they are still – but still in very early stage with a fairly low utilization rate at this point. So the Yonghui Superstores alliance, as I just mentioned earlier, is just part of this overall initiative, but that alliance in particular will be actually more strategic and beyond the current O2O initiative. So on the other hand we are not really venture into the other service-oriented O2O initiative at this point. So I think that the market is big enough and we hope we can leverage our own strengths and develop a very strong position in this exciting field.
Operator: Your next question comes from Cynthia Meng from Jefferies. Your line is open. Please go ahead.
Cynthia Meng - Jefferies Hong Kong Ltd.: Good evening. Thank you, Sidney, Richard and Qiangdong (19:30). I have a question on the penetration into lower tier cities. Can management give us some more color on the revenue breakdown by tier of cities and how does this compare to the prior year to last year same time? And also, can you share with us your progress in deepening the penetration into lower tier cities particularly the 500 county service center plan you mentioned previously? What is the growth in number of orders from lower tier cities last quarter? Thank you.
Richard Qiangdong Liu - Founder, Chairman & Chief Executive Officer: [Foreign Language] (20:08-20:28)
Haoyu Shen - Chief Executive Officer of JD Mall: We started our lower tier city penetration strategy at the end of 2013. We've made a lot of progress in the past year-and-a-half.
Richard Qiangdong Liu - Founder, Chairman & Chief Executive Officer: [Foreign Language] (20:36-20:57)
Haoyu Shen - Chief Executive Officer of JD Mall: So up to yesterday we are with our own staff covering over 2,100 districts and county and I want to remind you in China in total there are 2,800 of those. And we are covering 20,000 out of 40,000 (21:21) I don't know how to say that in English but it's...
Richard Qiangdong Liu - Founder, Chairman & Chief Executive Officer: (21:23).
Haoyu Shen - Chief Executive Officer of JD Mall: Yeah. And we are covering 40,000 villages and our target by the end of this year is to cover 100,000 villages in China.
Richard Qiangdong Liu - Founder, Chairman & Chief Executive Officer: [Foreign Language] (21:40-21:52)
Haoyu Shen - Chief Executive Officer of JD Mall: So out of the – actually the exact number is 46,000 villages we're covering right now. In each village we have a representative, so to speak. They do marketing. They do sales. They do after-sales services for us.
Richard Qiangdong Liu - Founder, Chairman & Chief Executive Officer: [Foreign Language] (22:12-22:30)
Haoyu Shen - Chief Executive Officer of JD Mall: We've achieved leading position in first-tier and second-tier cities in the past years, and we're making a lot of progress in lower-tier cities. We don't disclose these numbers. But we do – this is me, I'm just adding some color to what Richard said. We do track the percent of orders from lower-tier cities – excluding the first-tier and second-tier cities, we do track that number every quarter, and we're seeing steady growth, meaningful growth.
Richard Qiangdong Liu - Founder, Chairman & Chief Executive Officer: [Foreign Language] (23:03-23:10)
Haoyu Shen - Chief Executive Officer of JD Mall: We believe, in the near future, more than half of the orders will be from the third-tier and lower-tier cities.
Xuande Huang - Chief Financial Officer: Yeah. So let me just add one data point. In the second quarter, for the first time, the active customers from Tier-3 to Tier-6 cities have surpassed 50%. So the next milestone will be the number of orders.
Operator: Your next question comes from the line of Robert Lin from Morgan Stanley. Your line is open. Please go ahead.
Robert Lin - Morgan Stanley Asia Ltd.: Hi, management. So I just want to get a little color on – or outlook in terms of the third-party marketplace. So it's a twofold question. I think obviously there's a lot of competition for brands. I think your competitor talked about strategic partnership. Can you give us a little more color on how we intend to get more of these brands strategically, and how are you thinking in the next few quarters? And in terms of seasonality, we noticed that your first party reaccelerated in terms of direct sales. Is this more of a seasonal thing, because of a June promotion? How should we think about this in the second half? Thank you.
Richard Qiangdong Liu - Founder, Chairman & Chief Executive Officer: [Foreign Language] (24:38-25:28)
Haoyu Shen - Chief Executive Officer of JD Mall: Yeah. We've been through competition before. As we started as an IT and material (25:35) product seller, we've seen competitors and brands not accepting us and that, when we got into home appliances, we also saw some blocking strategies from some of our competitors, but we've seen through all these.
Richard Qiangdong Liu - Founder, Chairman & Chief Executive Officer: [Foreign Language] (25:56-26:07)
Haoyu Shen - Chief Executive Officer of JD Mall: Yeah. We entered apparel sector about two, three years ago. Right now it's the fastest growth category – major category within JD Mall.
Richard Qiangdong Liu - Founder, Chairman & Chief Executive Officer: [Foreign Language] (26:17-26:22)
Haoyu Shen - Chief Executive Officer of JD Mall: It's the most important growth engine for JD Mall.
Richard Qiangdong Liu - Founder, Chairman & Chief Executive Officer: [Foreign Language] (26:27-26:46)
Haoyu Shen - Chief Executive Officer of JD Mall: We understand and respect decisions made by brands according to their own strategy, but we believe, as long as we provide the best customer service, customer experience, eventually all brands will come back to work with us.
Richard Qiangdong Liu - Founder, Chairman & Chief Executive Officer: [Foreign Language] (27:04-27:15)
Haoyu Shen - Chief Executive Officer of JD Mall: Lastly, I do want to say that we are working at least with over 100,000 brands now. So the impact from any single brand is immaterial to our overall business.
Operator: Thank you. Your next question comes from Tian Hou from T.H. Capital. Your line is open. Please go ahead.
Tian X. Hou - T.H. Capital LLC: Good evening management. My question related to JD Baitiao, JD to Home. So, I would like to know the coverage of your JD to Home and also, how many part time deliver guys do you have and also, the financial arrangement between JD.com and those people? And also, what is your expansion plan going forward, in terms of coverage?
Richard Qiangdong Liu - Founder, Chairman & Chief Executive Officer: [Foreign Language] (28:14-28:45)
Haoyu Shen - Chief Executive Officer of JD Mall: Right now, Jingdong Daojia is in seven cities. This is up to yesterday.
Richard Qiangdong Liu - Founder, Chairman & Chief Executive Officer: [Foreign Language] (28:52-29:00)
Haoyu Shen - Chief Executive Officer of JD Mall: We have 50,000 registered freelancers this week.
Richard Qiangdong Liu - Founder, Chairman & Chief Executive Officer: [Foreign Language] (29:08-29:15)
Haoyu Shen - Chief Executive Officer of JD Mall: The number of orders is growing very fast, and we have the revenue sharing model with supermarkets.
Richard Qiangdong Liu - Founder, Chairman & Chief Executive Officer: [Foreign Language] (29:26-29:34)
Haoyu Shen - Chief Executive Officer of JD Mall: Yeah. We focus working with supermarkets, especially fresh produce.
Richard Qiangdong Liu - Founder, Chairman & Chief Executive Officer: [Foreign Language] (29:42-29:50)
Haoyu Shen - Chief Executive Officer of JD Mall: It's growing very fast, but it's very small, so comparing with the overall scale of JD, it's a very small business right now. I do want to answer the question asked before about the seasonality in Q2, our re-acceleration of the first-party business. Yes, so, Tian, in June, which is our annual campaign, it does tend to focus on first-party categories in which you will see the opposite in – typically in Q4. And the other reason is in Q2 the apparel tend to be small-ticket items seasonality wise, and apparel is, as Richard mentioned, is a big part of our marketplace business.
Operator: Okay. So your next question comes from the line of Kevin Yin from Credit Suisse. Your line is open. Please go ahead.
Kevin Yin - Credit Suisse (Hong Kong) Ltd.: Hey. Hey. Thank you, management. Thank you for taking my question. My question actually is a follow-on question on the competition. So Yonghui closed out (31:04) right and Timberland they shut down the store on JD.com. Xuan Song gave us in their report (31:10) that in 3C categories you used to – leading brands used to block JD.com as well. So my question is what made the change for the 3C category? And is this going to help us understand how long and what you need to do, what market share you need to gain to attract global leading brands, like Zara, Timberland, Uniqlo to come back again? And also can you update us on what are the major brands are using your logistics service? Thank you. [Foreign Language] (31:50-32:22)
Haoyu Shen - Chief Executive Officer of JD Mall: So this business is never about contractually fooling (32:26) your competitors. Long term it's never sustainable. And for the customers, it's always about customer experience. For the brands to work with the retailer, it's always about how much value you can create for them.
Richard Qiangdong Liu - Founder, Chairman & Chief Executive Officer: [Foreign Language] (32:42-32:59)
Haoyu Shen - Chief Executive Officer of JD Mall: It is probably true that the GMV number the brands can get from our platform is lower than on competitors. But it's probably also true for many of them, in absolute terms they're making more money from our platform than our competitors' platform.
Richard Qiangdong Liu - Founder, Chairman & Chief Executive Officer: [Foreign Language] (33:15-33:25)
Haoyu Shen - Chief Executive Officer of JD Mall: We're not advertising based business. They don't need to spend a humongous amount of money on JD to get traffic.
Richard Qiangdong Liu - Founder, Chairman & Chief Executive Officer: [Foreign Language] (33:35-33:55)
Haoyu Shen - Chief Executive Officer of JD Mall: Because of the nature of our platform, our traffic is of a high quality, meaning we have customers and buyers come to our site, it's very easier for the brand to convert them. Typically customers won't spend – waste their time.
Xuande Huang - Chief Financial Officer: And on your other question on logistic services to merchants, we still deliver right now a meaningful portion of the third-party merchant orders. In the second quarter it was in high 20%s. The reason for the percentage went down slightly was because increasingly customers are paying by online instead of COD. So COD was one of the drivers for our service, because it is exclusively offered by JD's delivery team. Now we are in the process of designing enhanced service offering to our merchants. So we expect to launch that very shortly in the second half.
Operator: Thank you. Your next question comes from the line of Sean Zhang from 86Research. Your line is open. Please go ahead.
Sean Zhang - 86Research Ltd.: Thank you, management, for taking my question. I have a follow-up on the market breakdown. You have over 50% of your customers coming from lower-tier cities. And can you explain to us what's the difference between shopping behavior? Am I correct to assume I think lower-tier city customers will buy more 3C home appliance, or more 1P product instead of – that we're to defining our product portfolio in Tier 1 cities, meaning Tier 1 city marketplace grows faster. Lower-tier cities primarily were selling more 1P product. Is that correct to assume that? Thank you.
Haoyu Shen - Chief Executive Officer of JD Mall: No. I don't think that's correct. You would assume so, but what we are finding is these lower-tier cities – and first of all, the behavior difference would be they buy sort of in aggregate. They do purchase less from us. The ticket size tend to be smaller and the frequency tends to be slightly lower. But it's not true that they only or tend to buy first party or a 3C kind of products. They do buy other categories from us. Even as a first-time user of JD.com, these buyers from third-tier and fourth-tier cities, they do buy non-3C products from us.
Xuande Huang - Chief Financial Officer: Just to add on Haoyu's point, so even though the ticket size and average purchase frequency is lower than Tier 1, Tier 2 cities, but when we look at the trend over the past four, five quarters, both metrics have been improving for the lower-tier cities. So right now this is really just a function of these people starting to shop on JD.com at a later time than Tier 1, Tier 2 city customers. So over time we do expect their shopping behavior will catch up and get much closer to the Tier 1, Tier 2 city customers.
Operator: Thank you. Your next question comes from the line of Robert Peck from SunTrust. Your line is open. Please go ahead.
Robert S. Peck - SunTrust Robinson Humphrey, Inc.: Yes. Thank you and congratulations, everybody. Sidney, I was wondering if you could give us a little more color on the Chinese stock market movements and maybe what impact they would have had during the quarter. And I know you called out as part of the guidance reflecting what you've seen so far. Is there anything else to call out in the guidance, any other areas of weakness, per se, to point out? Thanks so much.
Haoyu Shen - Chief Executive Officer of JD Mall: Sure. Well, it's very hard to comment on the stock market itself but we know that there are a lot of ordinary consumers who participated in the stock market and the correction does affect a lot of people. But there are other analysis indicating that stock market investment actually contributed a very small percentage of the overall consumer income, disposable income. So both are valid. So we think also on a sentiment basis we do believe that certain large ticket item purchases could be affected. So that's why we made a relatively conservative assumption and we reflected that in our Q3 guidance. We hope as the market continued to be in its early development phase, we prepare for the worst. But right now it seems the market has been stabilizing.
Operator: Thank you. Your next question comes from the line of Fawne Jiang from Brean Capital. Your line is open. Please go ahead.
Fawne Jiang - Brean Capital LLC: Thank you for taking my questions. My question is actually regarding your product mix for your 1P business. Just wondering whether you can give us a little bit of color on the trend of the 1P business in terms of the product mix breakout and how has that impact your margin so far and what do we expect going forward?
Xuande Huang - Chief Financial Officer: Yes. So right now if you look at Q2, the year-over-year growth in the ranking in terms of growth rate, general merchandise grew fastest followed by mobile headsets, which also grew very significantly in the second quarter and then followed by home appliance, which also grew faster than average. So the slowest growing category was IT and digital products, which has been the case for multiple quarters. So overall they all grew at relatively healthy pace. Margin wise I mentioned that the first party business as a whole, the gross margin did improve from the same quarter last year. So we do see an upward trend as we continue to expand scale and enjoy more scale benefit.
Richard Qiangdong Liu - Founder, Chairman & Chief Executive Officer: [Foreign Language] (40:35-40:50)
Xuande Huang - Chief Financial Officer: Yes. So Richard just added that although the order growth rates are different across different categories, even for the slowest growing category, IT and digital products, we still grow at least twice as fast as the industry. In fact we heard in some of these subcategories, the overall volume was declining, but we still grew at a very healthy rate.
Operator: Thank you. Your next question comes from the line of Thomas Chong from Citi. Your line is open. Please go ahead.
Thomas Chong - Citigroup Global Markets Asia Ltd.: Hi, management. Thanks for taking my questions. I have two questions. The first question is about cross-border e-commerce. Can management give us some update on your expectations in two-year's time? And my second question is about the trend for the marketing expenses in the second half. Will management pursue aggressive spending in O2O, such as subsidies, et cetera? Thanks.
Ruiyu Li - Investor Relations Officer: First question?
Richard Qiangdong Liu - Founder, Chairman & Chief Executive Officer: Cross border.
Xuande Huang - Chief Financial Officer: Cross border.
Haoyu Shen - Chief Executive Officer of JD Mall: Cross border, okay, right. So we launched the JD Worldwide in April and we did a few campaigns. And the business also participated in our June campaign. So if we look at number of orders, it's growing steadily and we're very much looking forward to more growth in second half, especially in Q4, which tends to be a very high season for cross-border business. And if you look at the categories, it's the baby and mother products, skin care, food supplements these tend to be the large categories. And we continue to work with multiple cities on bonded warehouse arrangements, and we do offer a few models. We can operate as a first party, meaning we can buy inventory from overseas sellers and put them in bonded warehouses, act as a seller ourselves. We can also offer marketplace model for merchants. So overall it's a fast-growing business, and we would put a good amount of resource behind it. But in absolute scale, it's a small business.
Xuande Huang - Chief Financial Officer: Yes. The second question, if I understand correctly, is about marketing spending on O2O initiative. This is actually quite a small spending right now. The focus of the marketing spending has been on overall JD brand building, so it's not specifically for the O2O initiative.
Operator: Thank you. Your next question comes from the line Wendy Huang from Macquarie. Your line is open. Please go ahead.
Wendy Huang - Macquarie Capital Securities Ltd.: Thank you. I have a few quick questions. The first regarding the O2O's GMV and the revenue, how will that be recognized in your P&L? Will that be under the direct sales GMV, or would it be under the other revenue in the revenue line? Similarly, can you comment on the latest draft from the government regarding the online payment regulations? How will those RMB1,000 or RMB5,000 daily transaction limit affect your business? And lastly, if you can give update outlook on the CapEx, given your recent new initiatives into the lower-tier cities, O2O, et cetera, that will be very helpful. Thank you.
Xuande Huang - Chief Financial Officer: Yes. So on the O2O, because we don't really sell those, we don't possess those products, so it is essentially a marketplace model, so we would recognize the GMV but not the full revenue. So we will take our own commission as part of the other revenue line. And I guess, for the payment, we're still accessing this latest regulatory policy. So right now, we don't give out any comments at this point, we still – because in any new regulations, there will be a lot of interpretations.
Richard Qiangdong Liu - Founder, Chairman & Chief Executive Officer: [Foreign Language] (45:32-45:54)
Xuande Huang - Chief Financial Officer: There's probably some technicalities here, but what Richard said, it has negligible impact on JD, because we have online payment. We tend to focus on our (46:13)
Haoyu Shen - Chief Executive Officer of JD Mall: Not part of the restriction. Yes, the restriction is more on payment out of accounts. So we have not been in that part of the business.
Richard Qiangdong Liu - Founder, Chairman & Chief Executive Officer: [Foreign Language] (46:25-46:40)
Xuande Huang - Chief Financial Officer: Yes. So in other words, if you deposit certain money in the payment account in advance, so that part of the business may be restricted now. And we have been connecting the consumers through – basically using their bank cards to provide the payment solution. So it's quite different.
Richard Qiangdong Liu - Founder, Chairman & Chief Executive Officer: [Foreign Language] (47:04-47:18)
Xuande Huang - Chief Financial Officer: So the government's objective seems to be limiting these third-party payment providers' ability to manage the money in its accounts. They would rather have the money deposited in the banks' accounts.
Operator: Thank you. Your next question comes from Purdy Ho from China Everbright (47:41). Your line is open. Please go ahead.
Unknown Speaker: Hi. Good evening, or good morning, management. This is Purdy Ho from China Everbright Overseas GMP (47:50) team. So I have a question regarding the competitive landscape. So as we can see, your competitors, the differentiation between JD and your competitors, is getting closer in terms of both products and price. So I'd like to understand more about, how would you position yourself going forward? Would it be more on the logistic side? Or would it be more on product differentiation? And I'd also like to know about the Paipai breakdown, either in GMV or in revenue. Thanks.
Xuande Huang - Chief Financial Officer: I think our offering is actually quite differentiated from our key competitor. We operate our first-party business, which is still contributing more than half of our GMV and bulk of our revenue. First-party means we process the merchandise first before selling to the consumers. So we have a lot more control over the quality and authenticity of these products, and we also can accumulate procurement power over time, when we purchase more and more larger quantity from these suppliers. So just on the product quality assurance aspect, we have been very much differentiated, and consumers recognize that through various third-party surveys. Logistics has also been a key differentiator from our competitors. You can see that our 211 program now covering more counties and districts every quarter, together with our second day delivery, we cover well over 80% of all of our orders. So the speed of delivery and also the personal touch of our in-house delivery staff, has been a huge differentiator from a pure marketplace operator.
Operator: Thank you. Your next question comes from the line of Mark Miller from William Blair. Your line is open. Please go ahead.
Mark R. Miller - William Blair & Co. LLC: Hi. Good day, everyone. Could you provide some color on the, what we would calculate as the take rate for marketplace and other? And I know last quarter, there was some concern around that, and there are some differences between gross and net GMV. But the metric looks better this period and so, if you could elaborate on the drivers of that, so take rate within third-party sales, as well as advertising and other components that are relevant? Thank you.
Xuande Huang - Chief Financial Officer: Right. So on the GMV versus net GMV, the gap between the two metrics are closing, now for second quarter in a row. So that is a very positive trend. So there are a number of moving pieces in between. For example, the return rates, which we have set consistently in low-single digit and then the remaining was really just incompleted orders. We saw higher incompleted orders on mobile. We think maybe part of the mobile behavior. But the trend has been improving, but it's offsetting by increasing proportion of the orders from mobile, right. So overall we see very positive trend that will close the gap. So on the commission, it would somewhat reflect that because the take rates on the marketplace will just track to net GMV and advertising is also growing very nicely. As I mentioned on last quarter's earnings call, we are yet to monetize on mobile and right now the most of advertising revenue came from PC. And as everyone knows that PC traffic is decelerating in growth, although we are still growing. But on mobile we're still testing and taking very careful steps before monetizing on mobile.
Haoyu Shen - Chief Executive Officer of JD Mall: So just to add a few words to what Sidney said, so the majority of our take rate is from commission and not from ads. So the migration of marketplace orders from PC to mobile has not impacted our overall take rate that much, even though we are not selling much ad on mobile yet. But we're working on it because there's needs from brands to prioritizing on mobile, and we are doing some experiments and so far we're seeing some promising results. So going forward, we will monetize mobile traffic with ads, more so than now anyway.
Operator: Thank you. Your next question comes from the line of John Choi from Daiwa Capital Markets. Your line is open. Please go ahead.
John Choi - Daiwa Capital Markets (Hong Kong) Ltd.: Good evening. Thanks for taking my question. I just have a question on the JD Daojia, especially on the user experience side given that your in-house delivery is pretty much well-regarded in terms of user experience. I'm wondering how you guys are going to control a lot of these part-time delivery people when you have tens of thousands and wouldn't that have a negative impact to user experience? And a follow-up one is remember Sidney, you mentioned that the fulfillment costs might go up from the 7% level from this quarter. So can you give us a bit more color and the reason why and what's the magnitude? Thank you.
Richard Qiangdong Liu - Founder, Chairman & Chief Executive Officer: [Foreign Language] (54:09-54:54)
Haoyu Shen - Chief Executive Officer of JD Mall: All these freelancers are not our full-time employees. So naturally, we were concerned about the customer experience quality at the beginning. But now we are not concerned because we realize, we recognize that a vast majority of these freelancers are actually from the same community they want to serve. So they do have a reputation they need to protect.
Richard Qiangdong Liu - Founder, Chairman & Chief Executive Officer: [Foreign Language] (55:23-55:45)
Haoyu Shen - Chief Executive Officer of JD Mall: So we've accumulated a lot of experience over time at JD Mall in managing the delivery staffs and we believe a lot of these expertise can be leveraged in this crowd sourcing model as well.
Xuande Huang - Chief Financial Officer: So on the fulfillment expenses, because – think about these delivery costs does not generate revenue. If anything it's a very small take rate. So just on a pure percentage basis, it would move higher. On the other hand, at the beginning of the business we may decide to subsidize, to a certain extent, to this business. So my comment was really incorporating all this potential cost in the second half. But there is no clear, at this point, because it's still in the very early stage, it's very difficult to quantify. So I just wanted to make a very conservative assessment.
Operator: Thank you. Your next question comes from the line of Robert Lin from Morgan Stanley. Your line is open. Please go ahead.
Robert Lin - Morgan Stanley Asia Ltd.: (57:07), I just have a follow-up question on your Internet finance business. We've heard from OTTO (57:12) this morning that there could be potential more cooperation among JD, of course Tencent. When I think about your – this is a fairly asset-heavy business. Is there consideration to spin out this business as a separate entity to fuel supplier financing, insurance, et cetera? Could we provide some color on how we think about the finance business going forward?
Richard Qiangdong Liu - Founder, Chairman & Chief Executive Officer: [Foreign Language] (57:43-57:59)
Haoyu Shen - Chief Executive Officer of JD Mall: Yeah. So basically, as I mentioned earlier about Internet finance business, we are seeking external sources of funding. We're both doing this through securitization, but also we may look for external financing for this business. Until further announcement we will leave it as this at this point.
Xuande Huang - Chief Financial Officer: And just quickly on – I remember this earlier question on Paipai.com. So Paipai is going through an internal restructuring. We are redesigning its business. So, just a heads up that it will impact year-over-year GMV growth going forward, but as always I've been disclosing GMV growth for JD Mall on a standalone basis. So the Paipai business restructuring will potentially impact the overall GMV growth, but as again, we'll also disclose the core JD Mall growth as well.
Richard Qiangdong Liu - Founder, Chairman & Chief Executive Officer: [Foreign Language] (59:17-59:28).
Xuande Huang - Chief Financial Officer: Right. So Richard just added because Paipai has a zero commission. So whatever the business restructuring plan is, there will be very limited impact on the revenue.
Operator: Thank you. Your next question comes from the line of Eric Wen from Blue Lotus. Your line is open. Please go ahead.
Eric Wen - Blue Lotus: Hi. Thanks very much for taking my question and congratulations on a great quarter. I have a short question regarding the collaboration with the supermarket. As we know the supermarket business has a low percentage of fresh produce, which actually do not make money. And all the profit comes from the remaining business, which are really not fresh produce. When you collaborate with the hypermarts, how do you structure the economic benefit so that there will be profit coming to your end and going forward? That's my question.
Haoyu Shen - Chief Executive Officer of JD Mall: Yeah. Okay. So, yeah, Yonghui actually is as I mentioned the best fresh product operator among all Chinese supermarkets. The percentage of fresh product sales of total sales at Yonghui is actually much higher than other supermarket chains. From its midyear financial report you will see that fresh actually contributed about 43% of the total sales. And because Yonghui has been very much focused on improving and strengthening its supply chain for fresh products, it probably has the best procurement cost among all players on fresh products. So, we actually from our understanding, it's fresh product is profitable. Gross margin is very healthy. Now, I think on a strategic collaboration front, obviously, we will work out a model that will provide benefits to both companies. For example, they now have over 350 stores, but obviously that would never be able to cover the entire country. So by having the partnership in areas where their physical stores do not cover, but we can jointly provide an online/offline model to provide this service because they already have the sourcing and the products and the warehouses, and we have the delivery network. So, there will be a lot of areas for potential collaboration in this area.
Richard Qiangdong Liu - Founder, Chairman & Chief Executive Officer: [Foreign Language] (1:02:26-1:02:49).
Haoyu Shen - Chief Executive Officer of JD Mall: Jingdong Daojia although very small right now, but in the future will contribute lot of GMV and revenue to the company and profitability as well. But more importantly, it will make Jingdong a high-frequency destination for customers, increase the stickiness of our customers. And we believe this is its most important value to the company.
Richard Qiangdong Liu - Founder, Chairman & Chief Executive Officer: [Foreign Language] (1:03:16-1:03:37).
Haoyu Shen - Chief Executive Officer of JD Mall: As successful as JD Mall is, our typical customer probably use us a handful of times every month in the quarter. But where we find Jingdong Daojia app is our customers use our app a few times a day, open our apps a few times a day, anyway.
Richard Qiangdong Liu - Founder, Chairman & Chief Executive Officer: [Foreign Language] (1:04:00-1:04:11).
Haoyu Shen - Chief Executive Officer of JD Mall: Down the road if one day we have an app installed on customer cell phones, which they use a few times every day, there's a lot of cross-selling opportunities.
Operator: We are now approaching the end of the conference call. I will now turn the call over to JD.com's Ruiyu Li for closing remarks.
Ruiyu Li - Investor Relations Officer: Thank you, operator. Once again thank you for your continued support and we look forward to talk with you in the coming months.
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. Good day.